Operator: All participants please standby, your conference is ready to begin. Welcome to the Dundee Precious Metals Q3 2014 results webcast conference call. I would now like to turn the meeting over to Janet Reid. Please go ahead Ms. Reid.
Janet: Good morning everyone. I’m Janet Reid, Manager of Investor Relations. Welcome to Dundee Precious Metals third quarter conference call. With me today are Rick Howes our President and Chief Executive Officer; Hume Kyle Chief Financial Officer who will each comment on the quarter. As well as David Rae, Chief Operating Officer, Adrian Goldstone, Executive Vice President, Sustainable Business Development and John Lindsay our Senior Vice President of Projects who are here today to assist with answering questions following our formal remarks on the quarter. After close of business yesterday, we released our third quarter results and hope you've had an opportunity to review our material. All forward-looking information provided during this call is subject to the forward-looking qualification which is detailed in our news release and incorporated in full for the purposes of today’s call. Certain financial measures referred to during this call are not measured recognized under IFRS and are referred to non-GAAP measures. These measures have no standardized meanings under IFRS and may not be comparable to similar measures presented by other companies. The definitions established and calculations performed by DPM are based on management’s reasonable judgments and are consistently applied. These measures are intended to provide additional information and should not be considered an isolation or as a substitute for measures prepared in accordance with IFRS. Please refer to the non-GAAP financial measures section of our most recent NDA for reconciliations of these non-GAAP measures. Please note that operational and financial information communicated during this call has generally been rounded and is in U.S. dollar unless otherwise noted. On this morning’s call Rick will comment on our third quarter operating results as well as the progress being made on our capital projects and exploration programs for the quarter. Hume will then provide an overview of our third quarter financial results and our guidance for 2014. With that I’ll turn the call over to Rick.
Reid: Good morning everyone. I’m Janet Reid, Manager of Investor Relations. Welcome to Dundee Precious Metals third quarter conference call. With me today are Rick Howes our President and Chief Executive Officer; Hume Kyle Chief Financial Officer who will each comment on the quarter. As well as David Rae, Chief Operating Officer, Adrian Goldstone, Executive Vice President, Sustainable Business Development and John Lindsay our Senior Vice President of Projects who are here today to assist with answering questions following our formal remarks on the quarter. After close of business yesterday, we released our third quarter results and hope you've had an opportunity to review our material. All forward-looking information provided during this call is subject to the forward-looking qualification which is detailed in our news release and incorporated in full for the purposes of today’s call. Certain financial measures referred to during this call are not measured recognized under IFRS and are referred to non-GAAP measures. These measures have no standardized meanings under IFRS and may not be comparable to similar measures presented by other companies. The definitions established and calculations performed by DPM are based on management’s reasonable judgments and are consistently applied. These measures are intended to provide additional information and should not be considered an isolation or as a substitute for measures prepared in accordance with IFRS. Please refer to the non-GAAP financial measures section of our most recent NDA for reconciliations of these non-GAAP measures. Please note that operational and financial information communicated during this call has generally been rounded and is in U.S. dollar unless otherwise noted. On this morning’s call Rick will comment on our third quarter operating results as well as the progress being made on our capital projects and exploration programs for the quarter. Hume will then provide an overview of our third quarter financial results and our guidance for 2014. With that I’ll turn the call over to Rick.
Rick Howes: Thank you, Janet and hello everyone, and thanks for joining us today. As you all know, the gold market remains relatively weak by strengthening U.S. economy and job market continued low inflation and the end the quantitatively easing the U.S. as fuels U.S. dollar strengthening and put gold prices to new four year loads. Against this back drop, the sector has seen a significant decline in profit margins and investor appetite to put more money into the sector is making an extremely difficult for high cost producers and those without cash flow trying to advance attractive projects. So with that, let me begin by reviewing our operating results and telling you what we’re doing to optimize the performance of our existing assets improved upon our low overall cost position and advance our high return growth projects. Although we saw a much weaker operating performance in the quarter, it was largely in line with expectations with the exception of Kapan which saw lower metal production primarily as a result of lower mine production rates and higher dilution affecting their head grades. Chelopech was scheduled to see lower grade production this past quarter and performed in line with those expectations, although recoveries were somewhat below what we expected. The Tsumeb smelter saw lower throughput in the quarter as expected due to the annual maintenance check down in July. Looking forward we are expecting a stronger fourth quarter as Chelopech enters a much higher grade cycle. Smelter returns to normal operations for the full quarter and Kapan shipped higher volumes of copper concentrate from a build up in the inventory from the previous quarter. The Smelter throughput in the third quarter was impacted by several factors including the plan maintenance shutdown in July, which was five days longer than expected due to delays in the fabrication and delivery of certain materials from South Africa. A build up in process inventories of reverts and other secondary materials over previous quarters has required a significant change in operating practices to focus on reducing those inventory levels in Q3. Work began on this in June and I’m happy to report that we’re now seeing a significant increase in blister copper production rates and a drawdown of revert inventory levels. At the rates we saw on October, we now expect to drawdown in the inventories to continue for the rest of the year and reach normal levels in the second half of 2015. Smelting reverts and other secondaries of rates required to drawdown those inventories does reduce our capacity to process fresh concentrates. However we are looking at several options to overcome this. The other factor affecting Smelter throughput rates is significantly higher copper content and newly contractive third-party concentrates. Due to all these factors, the throughput is the Smelter’s expected to operate at a rate of approximately 200,000 to 210,000 tons per year until the new large converters are brought online as part of the acid plant construction project. Despite these constraints, the Smelter is expected to deliver within guidance over the year on production and unit costs. The latest schedule from our LSTK supplier, lump sum turnkey supplier Outotec for the acid plant, now indicates mechanical completion at the end of May 2015 with first on acid now expected in September. Times are expected to be completed during the schedule Smelter maintenance shutdown in June of 2015. The new converters are now expected to be fully operational in Q1 of 2016. Skill shortages and lower than expected productivities have been the main cause for schedule slippage. These problems are being addressed by Outotec to reduce the possibility of any further slippage. Work is progressing well on the Smelter expansion project. A scoping level study on options for expansion to 320,000 tonne complex on feed is nearing completion along with the dedication of suitable feed sources, commercial terms and project economics for this project. Namibian government elections are scheduled to be held on November 28. The current ruling SWAPO Party is expected to remain in power, although there will be a new president and prime minister and like the number of other changes in cabinet ministers. We do not expect this to have any negative impact to the solid support and good relations we have with the Namibian government. Chelopech mine and mill production continues to perform consistently with quarter-over-quarter grade and recovery variation affecting metals output and financial results. This quarter saw lower grades and lower recoveries which were largely anticipated. The lower recoveries continue to be the focus of much work to optimize recoveries through further analysis on water chemistry, grinding control and flotation optimization. Work through date to improve circuit performance at significantly close the gap to model predicted recoveries compared with previous quarters, particularly for copper. We expect a very strong fourth quarter with much higher copper and gold rates in the mining sequence and better mill recoveries. With this expected strong finish to the year, Chelopech would still be in at the low end of guidance for the year despite the lower than predictive recoveries throughout the year. The unit costs per tonne remain below budget in the quarter and for the year. The two main active capital projects are advancing are the concentrate storage and handling project and [inaudible] analyzer project which will assist in better mill circuit control when completed. The Bulgarian parliamentary elections were held on October 5 and the Center-Right GERB Party which formed the previous government before the most recent one was forced to step down, once again won the most seats at 84 but was not sufficient for majority government. The Socialist Party were second with 39 seats followed by a strong showing now Turkish party with 38 seats. The Ataka Party which is a strong nationalized party linked to Russia barely got necessary support needed to enter parliamentary gang and holds only 11 seats. Discussions are still taking place with GERB and the other parties to try to form a coalition. It is clear that no coalition will be formed with the previous government coalition members which are the Socialist and the Turkish party. The most likely scenario seems to be a minority government on GERB and the Reformist Bloc whose governance programs will be supported by the Patriotic Front. Assuming a successful coalition is formed, there is a possibility of only a short mandate until July next year when new early elections can be held together with the local ones or perhaps a two year period until the presidential elections. It’s so that a long term mandate with a full four year term of office is unlikely. The banking crisis and energy sector reforms will dominate the agenda for the new government in the shorter term. Despite this current political instability, the interim government seems to be functioning well and we are successfully able to advance our plans in country with the necessary government departments. At Krumovgrad we have seen good progress and moving ahead permitting with the local municipality. We now expect the main GDP to be approved the municipal council sometime in January which is even faster than we have expected. We have also started the procedure for the preliminary agreement with the forest regency for the land purchase. The terms of reference for the water wall circus construction has been approved by the municipal council and we will now file documents for the GDP approval. The new road to access GDP process has started. Land leased to occupants by the municipality have been given notification of cancellation of the contracts and the land re-designation approval will follow. Under the EBRD loan agreement, a 60 day disclosure period will begin with town hall meetings in Krumovgrad and surrounding communities. This should all be completed by the end of January. We’re currently advancing the next stage of the detailed engineering [inaudible] pre-qualifications, vendor data procurement, detailed execution plan and upgrading of the existing road. All activities remain on or ahead of schedule with the construction permit now expected in Q3 2015. The third quarter results for Kapan were affected by a number of factors, following the fall of ground fatality in May we introduced new ground support standards Wayne Drives which required training of all underground workers and supervisors and a six week period of reassignment of the mining crudes to address areas requiring additional scaling and ground support work. As part of the recommended design changes from a fatality investigation, the Wayne Drive opening heights were reduced and required the introduction of smaller production drills that would fit into these new dimensions. These new drills arrived in October and training of these drills has begun. These issues have delayed program on ramping up the required developed and drilled inventories to achieve a target production levels in the mine. Jumbo development performance rates in the quarter improved but would still below targets, and plan to introduce handheld bolting off of suitable platforms to improve Jumbo development rates began in September with the arrival of two new suitable vehicles. Development rates are expected to continue to improve over the next several quarters as the crews are trained to become efficient – proficient in this new method. It is anticipated that the mine will reach target production levels now in the second half of 2015 with a steady increase in improvement over the next few quarters. We again saw high dilution due to port drilling and blasting practices in the quarter. This should improve with the introduction of the new [inaudible] production drills which offer better drilling accuracy than the old [inaudible] drills. And with the introduction of tighter monitoring and control on these practices, we expect dilutions to improve over the next several quarters with dilution reaching target levels by the second half of 2015. Following completion of the Kapan underground expansion PEA we will revamp this expansion opportunity through a feasibility level study and permitting starting in 2015. Our exploration team is active with exploration activities around existing operating and development assets. Circus exploration drilling had begun to test the number of anomalies identified the adjacent licenses to the Krumovgrad EAD session. Service diamond drilling will begin in Q4 on a number of targets identified on the [inaudible] license to the north of Chelopech mining concession. Underground drilling and some of these targets is planned for 2015 and the regional exploration program around Kapan also continues with systematic drill testing of several identified targets. On October 2, 2014 Avala and Dunav completed the business acquisition work. Dunav became a wholly owned subsidiary of Avala. As a result, DPM now holds $22 million common shares and $5 million warrants of Avala which represents a 50.1% ownership interest in Avala. The management of Avala has undertaken a comprehensive review of all Avalas project and intend to recommend a near term work plan of strategy to the Avala board of directors. Taking into account, Avala’s current financial resources which include $3.5 million cash following the transaction. Steel activities at the Avala and Dunav metal properties have been limited until completion of this review. Following completion of the acquisition of Dunav, Avala’s workforce in Serbia were further reduced in an average to lower the level of expenses. In summary, the focus remains on controlling costs and executing on our plans to achieve performance targets at each of our existing operations as well as completing our mandatory capital commitments of the Smelter and moving our Krumovgrad gold projects forward. Thank you. I will now turn it over to Hume, who will review the financial results in 2014 outlook, following which we will open the floor to questions.
Hume Kyle: Thanks, Rick. As Rick highlighted our third quarter production results were largely in line with expectation and reflected a Chelopech mine plan that called for lower metals production than we saw in Q2 and lower than we expect to see in Q4. Tsumeb being down for 35 days, five days longer than expected to perform plan annual maintenance on the furnace and Kapan operating at lower levels with the rebuilding of its development inventory and the implementation and training associated with the introduction of new mining practices and equipment. These factors contributed to an adjusted net loss of $0.07 and $0.02 per share for the quarter and first nine months of 2014, down from adjusted net earnings of $0.07 and $0.15 in 2013. From the cash perspective, adjusted EBITDA for the third quarter and first nine months was $9 million and $57 million down from $26 million and $74 million in 2013. Similarly, year-to-date funds from operations or cash flow from operations before changes in non-cash working capital decreased to $47 million down from $64 million in 2013. These decreases reflect several factors. First and foremost, lower volumes as payable metals delivered which reduced the low recoveries at Chelopech as a result of higher sulfur to copper ratio than originally anticipated and lower year-to-date mine production at Kapan. Higher deliveries of Q3 2013 as a result of Chelopech reducing its concentrate inventory levels compared to a slight build up this year. And finally lower deliveries of higher value copper chronic Kapan this quarter as a result of timing which is expected to reverse in the fourth quarter. Lower gold and byproduct prices also contributed to the decrease and was partially offset by higher volumes and higher tools at Smelter. Despite the current commodity price environment, our mining costs – cash cost remain at relatively low levels compared with our industry peers and allow us to generate positive cash flow. Consolidated cash cost per tonne of more process for the third quarter and first nine months of 2014 were approximately $47 and $48 up slightly from 2013 levels. Consolidated all end sustaining cost grounds of gold net of byproduct credits during the third quarter and first nine months for the year were $876 and $819 compared to $642 and $625 in 2013. These increases were due primarily to lower volumes with payable metals and concentrate sold lower byproduct prices, higher mining costs and higher sustaining capital outlays partially offset by lower G&A. Cash cost per tonne with the Smelter during Q3 and the first nine months of 2014 were $510 and $352 compared with $477 and $444 in 2013 reflecting lower Q3 volumes due to the annual maintenance shut. Increased spending in 2014 to improve operating practices and performance and increased labor and electricity rates which were partially offset by higher volume and the favorable impacts of a stronger U.S. dollar. Aggregate sustaining and growth capital expenditures during the third quarter and first nine months of 2014 were $49 million and a $152 million respectively, down from a $64 million and a $166 million in 2013. These expenditures are consistent with our guidance and reflects a higher levels of capital spending at Kapan to improve operational performance and at the Smelter to modernize and transform the facility into a higher capacity sustainable operation. As previously reported, the $110 million fugitive emissions project was completed in 2013 and the $242 million acid plant and new converted project is well underway with aggregate spending to date at a $195 million. Spending on this project over the balance of the year is expected to be approximately $22 million with the balance being incurred in 2015. Looking forward to 2015, our committed capital expenditures are expected to decline significantly as we focus on completing the acid plants and converters. Securing the remaining permits for Krumovgrad and Kapan and evaluating the opportunity to increase Tsumeb’s capacity in recoveries and bring in additional complexity. These projects represent attractive investment opportunities which have approved can be staged overtime as appropriate depending up on for daily market conditions. With this elevated capital spending in 2014, we have been drawing down our revolving credit facility which as you will recall was increased earlier year to $275 million on attractive terms. As a result, at September 30, we exited the quarter with a $188 million of available liquidity in line with what we expected comprised to $23 million in cash and a $165 million of funds online. Looking forward to the end of the year we expect fourth quarter production and cash flow from each of our operations – sorry, we expect improved cash flow and production from each of our operations and to exit the year in a similar financial position. As a result, our consolidated guidance remains unchanged from the guidance issued in 2014 with the exception of consolidated gold production which we have reduced slightly to a range of 145,000 to 149,000 ounces. And our mine cash cost per tonne which we have lowered to $46 to $51. With that, I will turn the call back over to the operator for Q&A.
Operator: Thank you. We will now take questions from the telephone lines. (Operator Instructions) Our first question is from Mike Kozak from Cormark Securities. Please go ahead.
Mike Kozak – Cormark Securities: Yeah, good morning, guys. So year-to-date it looks like sustaining CapEx that Kapan is running around 1,000 bucks ounce. What is the run rate you expect to kind of have that go down to 2015, 2016 and going forward?
Rick Howes: Well, the cash cost for Kapan during the quarter was quite high. Like I think if you looked in the MD&A for the quarter it was around $1,500 an ounce and that was entirely due to the composition of the delivery, the ratio of copper con to zinc con was skewed both in terms of normal deliveries and relative to productions. So if you normalize that and said if we actually deliver everything that we produced the cash cost at Kapan would have been around $800.
Mike Kozak – Cormark Securities: Yeah, but I’m talking about sustaining CapEx per ounce?
Rick Howes: Sorry, what’s that?
Mike Kozak – Cormark Securities: I’m talking sustaining CapEx per ounce.
Rick Howes: Yeah
Mike Kozak – Cormark Securities: It looks like that was, that’s around – running at around a $1,000 as low on top of the cash operating cost I mean what is the steady state run rate sustaining CapEx at Kapan, you know, in two or three years our?
Rick Howes: I think that that’s probably about it, that’s what we’re expecting right now.
Mike Kozak – Cormark Securities: Okay, so I mean if you’re going to…
Hume Kyle: Sustaining costs you’re talking about.
Rick Howes: I thought he was…
Hume Kyle: You’re talking about sustaining capital or all in sustaining cost?
Mike Kozak – Cormark Securities: I’m talking about, well both I guess. I mean year-to-date sustaining capital at Kapan is over $11 million, so I’m wondering what number puts the normal number there per year.
Hume Kyle: Yeah, normally Kapan would run around $15 million to maybe $17 million and that’s the go forward looking if you were increasing the production to based on a PA to a million I think would be closer to $20 million to $22 million.
Mike Kozak – Cormark Securities: Okay. So, and then I mean with gold prices where they are, what point given where the operating costs are in sustaining CapEx, at what point do you think about showing that mine now?
Hume Kyle: Well, it’s always something will review but if you look at it in terms of that reaches sort of target performance levels it actually does generate free cash flow and earnings contribution to the company even at these prices for gold. So it’s only because it’s requesting a sort of a weaker production period right now relative to what we think the mine should be able to deliver that – really that’s affected. So, we’d see that somewhere under 800, all in sustaining or even around 800 so, but if it delivers on targets.
Mike Kozak – Cormark Securities: Okay, that’s it from me. Thanks.
Hume Kyle: Yeah.
Operator: Thank you. (Operator Instructions) Our next question is from Adam Low from Raymond James. Please go ahead.
Adam Low – Raymond James: Good morning, everyone.
Rick Howes: Good morning.
Adam Low – Raymond James: My first question is with regards to how do you guys prioritize your capital investment decisions between the various projects. If you have came down to it with weak commodity prices that you can only do Krumovgrad, Kapan expansion or the Asumelt furnace at Tsumeb, what is the ranking between those?
Rick Howes: Certainly at this stage its Krumovgrad would clearly be the front runner project in our priority list.
Adam Low – Raymond James: And you did mention during your prepared remarks that you’re planning on doing a feasibility study for Kapan. So I’m guessing that probably means that at this stage the board isn’t right to make it go or no go decision on whether or not to do that – to do the expansion with just the results of the PA? And then secondly just curious as to whether we’ve had a pretty price drop in the commodity prices since that PA came out just a short while ago. Does that change the thinking at all about the viability of that expansion?
Rick Howes: Well for sure we’ll incorporate what I’ll say the shorter term pricing assumptions, obviously if they’re affected there they’ll affect the short term return issue but it’s still at attractive project, it’s still even if you plug in much lower gold price numbers it’s still a very attractive project. So, it’s got a – it’s a robust project in terms of that sensitive to gold price, it’s fairly robust. So not to say that the board has approved it yet, we have to refine the work sufficiently if you have a high degree of components in, you know, in the projects gold per work and the cost and the economics of that project. But that’s normal for us, we wouldn’t move on a PEA level starting to make a decision, we’ve advance it through various stage gates to final decision making.
Adam Low – Raymond James: Now you mentioned that, you know, there is perhaps, there is some new equipment being brought into the mine expand, outside of the $15 million to $18 million in sustaining CapEx over the next few quarters to get back up to standard throughput by mid next year. Is there any other additional capital you guys need to incur just in terms of like mine fleet or anything like that?
Rick Howes: You mean for expansion are you talking about or for…
Adam Low – Raymond James: No, just to get back to you know, let’s say you know 500,000 to 600,000 tonnes per year kind of rig.
Rick Howes: So, I mean it would be normal replacement of the fleet based on its life and expectancy and so a normal equipment to replacement I’ll call it, nothing unusual that we would expect to spend.
Adam Low – Raymond James: So that would be captured in the sustaining CapEx guidance?
Rick Howes: Yeah, in the sustaining CapEx.
Adam Low – Raymond James: Okay. Do you just find the role of your hedges that you have on some of the metals into 2016?
Rick Howes: Well, we’re always looking at that. We haven’t done that right now. So really we’re fully hedged out to the end of 2015 and we’ll accept that as a go forward.
Adam Low – Raymond James: Last question from me, regarding the concentrate, handling storage facilities that you’re building Chelopech. Can you just explain to me what the benefits of that are in order to incur the CapEx there? Is it really just to maintain your socialist to operate or to improve that socialist to operate or are there actual OpEx savings that could be achieved with those facilities?
Rick Howes: Yeah, Adam you’re correct in saying that it’s mainly to retain social license. The two different elements to this the one at the [inaudible] and in both cases we believe it’s necessary to do this.
Hume Kyle: There is potential for concentrate [inaudible] particularly as the forecast due to wind. So that there was an economic feast to this project and the rates as well lower.
Rick Howes: There is just been a very heavy precipitation yet and I think it’s clearly demonstrated it was the four handed Chelopech you know why there would be a need for better storage in combine.
Adam Low – Raymond James: All right, thank you.
Operator: Thank you. Our next question is from Josh Wolfson from Dundee Capital Markets. Please go ahead.
Josh Wolfson – Dundee Capital Markets: Hey, good morning. First question that relate to Kapan, I’m sorry not Kapan, Krumovgrad. The EBRD debt and the narrow requirement for the ESIA, could you talk a bit more about what the timelines are for that completion now?
Adrian Goldstone: Josh, this is Adrian. We’re currently finalizing the conditions in the ESAC with the bank. Our intent was to provide we can call it the next week or so to get the [inaudible] purchase done later on this month which would as Rick said earlier would take us through to [inaudible] in January with all those finished.
Josh Wolfson – Dundee Capital Markets: And that’s that could set off the terms or that’s to complete the actual ESIA process?
Adrian Goldstone: That’s basically to agree the conditions that go tend to the action part that’s probably one of the governance on the agreement.
Rick Howes: Like I said, the terms will be finalized later this year but there is a 60 day public notice period where once we’ve agreed which is something that will happen shortly then it gets posted publicly for 60 days after which it’s approved by EBRD formally. And that whole process is really just unique to EBRD, it’s not a condition that relates to our facility generally, it only relates to EBRD and meeting and internal requirements that they have.
Josh Wolfson – Dundee Capital Markets: And that is that process you’re talking about the completion by January, is that the ESIA process or with the ESIA commence after that degree upon?
Adrian Goldstone: The ESIA is basically just hardly documentation that feeds into the more important document which is that environment and social action plans. And if the action plan that we’re finalizing with the banks management team at the moment and that is the option we hope to have close agreement on in the next week or so. And if that document [inaudible] over the line documents like this the impact assessment that goes out to public disclosure. So that we expect the conditions that we now have to walk right on that to be finalizing and agreed in the next week or so.
Josh Wolfson – Dundee Capital Markets: Got it.
Adrian Goldstone: And then after that that 60 day period starts, and the 60 day period has no – there is no more negotiation unlike there is some kind of stakeholder feedback there that required us that’s also [inaudible] expect.
Hume Kyle: And Josh, that doesn’t affect our ability to advance the Krumovgrad project.
Josh Wolfson – Dundee Capital Markets: And just sorry, just to clarify I guess just want to rise all that up, the ability for you to drive down on those funds would be available in January, there is no other further steps, correct?
Rick Howes: Yeah, we did not have further steps to comply with.
Josh Wolfson – Dundee Capital Markets: Okay. And then in terms of permitting what sort of timeline are you expecting for the DDP now? And also I guess the, well land re-designation is expected by year end but what other steps are required before you can dig yourselves into the ground?
Adrian Goldstone: Yeah, so the DDP process that’s underway, the DDP has been submitted and we anticipate the municipality approval of that in the first quarter of next year. Once we have that, we can get the land re-designated, we can purchase the land and coming out with that under construction permit and we anticipate that sort of in the second quarter next year. Once we have that construction permit then that’s when we get shovels in the ground.
Josh Wolfson – Dundee Capital Markets: Okay. And then moving on to the Chelopech, in terms of your guidance which I guess implies roughly 49,000 ounces for the fourth quarter that would be record output for the mine beyond than before. How comfortable are you that you can achieve what would appear to be well beyond four grants process grades there?
David Rae: So, this is David Rae. Keeping in mind that we’re already one lump into the quarter and we are on track to do exactly that, according to our commitments. So the number that we had in mind with a little – there is numbers are still the low in your 49,000 ounces but yes, it should be a record quarter.
Josh Wolfson – Dundee Capital Markets: Okay, all right. Great, thank you very much. That’s it from me.
Operator: Thank you. We have no further questions at this time. I’d like to return the meeting back to Mr. Howes.
Rick Howes: Okay, thank you much everyone and have a good day, good week and hopefully a good returns and stronger markets. Thanks.